Operator: Greetings, and welcome to Wolverine Worldwide, Inc. Fourth Quarter Fiscal 2020 Results Conference Call. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn this conference over to your host, Mr. Brett Parent, Vice President of Strategy and Investor Relations. Please go ahead. You may begin, sir.
Brett Parent: Good morning, and welcome to our fourth quarter and full Year 2020 conference Call. On the call today are Blake Krueger, our Chairman and Chief Executive Officer; Brendan Hoffman, our President; and Mike Stornant, our Senior Vice President and Chief Financial Officer. Earlier this morning, we announced our financial results for the fourth quarter and full year 2020. The release is available on many news sites and can be viewed on our corporate website at wolverineworldwide.com. If you would prefer to have a copy of the news release sent to you directly, please call Allison Malkin at 203-682-8225. This morning's press release and comments made during today's earnings call include non-GAAP disclosures, which adjusts, for example, for the impact of environmental and other related costs, net of cost recoveries, costs related to the COVID-19 pandemic, including severance, credit loss expenses, certain inventory reserves and other related costs and foreign exchange rate changes. These disclosures were reconciled and attached tables within the body of the release. I'd also like to remind you that statements describing the Company's expectations, plans, predictions and projections, such as those regarding the Company's outlook for fiscal year 2021 made during today's conference call are forward-looking statements under U.S. securities laws. As a result, we must caution you that there are a number of factors that could cause actual results to differ materially from those described in the forward-looking statements. These important risk factors are identified in the Company's SEC filings and in our press releases. With that being said, I'd now like to turn the call over to Blake Krueger.
Blake Krueger: Thanks, Brett. Good morning, everyone, and thanks for joining us. I hope everyone on the call is safe and well. Earlier this morning, we reported fourth quarter revenue of approximately $510 million, adjusted earnings per share of $0.21 and operating cash flow of $174 million, all exceeding our highest expectations entering the quarter. In Q4, we finished the year of an incredible effort that focused on change and agility. During which time, we remained open for business, drove solid financial results and near record cash flow and also helped take care of our communities. We've set the stage for accelerated future growth. Specifically, we invested in new leadership, product design and innovation, digital product development tools, consumer insights and digital marketing capabilities, all aimed at bringing to market a continuous flow of powerful product marketing stories. This all sets the stage for our brands, led by Saucony, Merrell, Sperry and Wolverine to launch innovations related to their biggest product franchises in 2021, supported by compelling digital marketing content. We reoriented our brands around our DTC-first mindset and go-to-market operating model, while prioritizing our digital platforms globally. Our e-commerce revenue grew 32% in Q4, up 50% for the full year 2020. And so far, in Q1 2021 has accelerated to over 60% growth. We added an elevated leadership talent in this area and shifted even more of our marketing investments towards digital. We also continue to invest behind key global strategic growth initiatives, with a focus on ramping up our joint venture in China to realize the sizable opportunity that exists for Saucony and Merrell in this market. A heartfelt thanks to our team who successfully dealt with a constant barrage of unprecedented challenges in 2020, enabling the Company to jump-start 2021. Our brands are well positioned in trending categories and distribution channels, and we have a clear line of sight to increase demand from our DTC business and retail partners. We will share more about our strategic priorities, growth drivers and 2021 expectations later in the call. First, however, I'll provide some additional insight on our Q4 performance. Then Mike Stornant will detail our 2020 results and share our financial outlook for 2021, and Brendan will speak to our major growth initiatives. In the fourth quarter, the Wolverine Michigan Group's revenue was down 17.1% on a reported basis and down 17.3% on a constant currency basis. The Wolverine Boston Group's revenue was down 15.6% on a reported basis and down 16.1% on a constant currency basis. Let me focus on key brand performance, starting with Saucony. Despite several planned product launch shifts out of Q4, Saucony revenue grew mid-single digits in the quarter, with growth across all major product categories. We expect the brand to accelerate to growth of about 50% in Q1 and deliver very strong increases and continued momentum throughout 2021. In Q4, saucony.com grew over 65%, and the brand expanded operating margin in this channel by more than 800 basis points. Asia Pacific also grew as the brand's new China JV began to gain some traction, with 32 stores opened by year-end. Spectacular product is the key ingredient contributing to Saucony's success, led by the innovative Endorphin collection, which helped drive double-digit Q4 growth in the road running category. The Originals lifestyle business, which represents the brand heritage retro running collection featured in top-tier fashion accounts, also delivered growth in the quarter. Looking to 2021, Saucony plans to launch new products across many of its biggest franchises, including the Kinvara, Guide, Peregrine and Ride franchises, along with expansions of the Endorphin series. And that's just in the first half of the year. The brand will continue to advance award-winning integration of its speed roll, design geometry and power run midsole cushioning technology. Saucony will further leverage the Italian product design and marketing hub for its Originals business, building on its pinnacle positioning and success in Italy, with elevated trend-right product that will expand into key strategic markets like China, the U.S. and Greater Europe. We anticipate a fast start to a big year for Saucony. Moving to Merrell. Revenue exceeded our expectations, down low double digits in Q4, largely due to right-sizing the inventory position for some of our international partners which we discussed last quarter. The brand delivered high single-digit growth in North America with merrell.com up over 60%, thanks to over 70% growth in new consumers. Merrell stores were down only mid-single digits in Q4 and nicely ahead of expectations, despite significant traffic declines related to the pandemic. Merrell remains focused on cultivating a strong mix of iconic product with compelling new franchises across both the performance and lifestyle category. In Q4, the industry leading Moab collection along with the new Antora and Nova 2 were among the top selling style. Cold weather boots contributed meaningfully to Merrell's Q4 performance as well, delivering growth of over 40%. Turning to 2021, this year marks Merrell's 40th anniversary and the brand will maximize the moment with its future 40 campaign and has slate a powerful global product marketing story. We expect Merrell to have a strong year and build on its momentum with several significant introductions behind its biggest franchises beginning with the Moab collection, the number one hiking franchise in the market. The brand plans to launch the Moab Speed and Moab Light, lighter, faster and more athletic-style in Q1. In the back-half Merrell will launch new introductions at the Moab Speed Thermo and the award-winning Thermo Rogue 3, two innovative winter hikers that feel light sneakers. Merrell also plans to capitalize on the easy on-off trend with compelling new colorways patterns and materials in the Jungle Moc capped off with the launch of the new Jungle Moc Explore in Q3. The fast growing Hydro Moc and Hut Moc styles are expected to further bolster the brand strength and the flip-on category. Turning now to Sperry, revenue was down just over 20% in Q4, a significant sequential improvement versus the prior two quarters. Boots helped deliver better than expected revenue in the U.S. wholesale channel with diversified silhouette, the new colors for women and an expansion in demand. Sperry's full price business mix has been very strong, especially in boots contributing to nearly 500 basis points of gross margin expansion for the brand in Q4. The Sperry brand possesses unique elasticity across genders, product categories and price points with the ability to sell products ranging from its premium Gold Cup Collection to the authentic original boat shoot and saltwater boot all the way to offerings that mark accessible price points for younger consumer like the all-new Float collection. Launching in late March, Float is a fun and affordable injected version of the boat shoot and it's expected to be one of the Sperry's biggest launches in several years. Product capsule leveraging fashion, entertainment and pop culture icons are planned throughout the year including collaborations with John Legend, Rebecca Minkoff, the Netflix hit series, Outer Banks and Good Humor Ice-cream. Before Brendan and I share some additional insights on our strategic growth priorities in 2021, I'm going to hand it off to Mike to review the fourth quarter and full-year financial results in more detail. Mike?
Michael Stornant: Thanks, Blake, and thanks to all of you for joining us. Let me start by providing additional detail on the Company's fourth quarter performance, then briefly touch on the full year results and finish with more insight on our outlook for 2021. Fourth quarter revenue of nearly $510 million was down 16% compared to the prior year, but was meaningfully higher than we projected coming into the quarter. Our owned e-commerce business remained a key growth driver, up approximately 32%. As expected, the quarterly revenue result included about $85 million of negative impact from certain discrete issues, including lower sales to our third-party international distributors related to high spring carryover inventory, a planned shift in the timing of several key Saucony product launches and lean inventory for some of our stronger selling product collections across the portfolio. North America was our strongest region, led by high single-digit growth from Saucony and Merrell. EMEA, Latin America and Asia Pacific were all impacted by the carryover inventory adjustment mentioned above and were down in the 30% to 40% range. Adjusted gross margin of 41.4% was up significantly, expanding 360 basis points over the prior year. Better gross margin on our full price business, reduced closeouts and an increased mix of DTC business, were partially offset by a negative impact from FX. Adjusted selling, general and administrative expenses of $177.4 million in the quarter were $8.8 million more than the prior year due mostly to the higher mix of DTC revenue which included over $7 million of incremental investment in digital e-commerce marketing. During the quarter, the Company recorded a $222 million noncash impairment related to the Sperry trade name. The global pandemic continues to have a pronounced impact on consumer soft goods, including the casual footwear market and has put pressure on many of Sperry's key retail customers. These were the main considerations in evaluating the potential impairment during the quarter. Our outlook for Sperry remains bright. Consumers and our retail partners alike share a strong affinity for the brand. With its authenticity, deep heritage and brand values, we expect Sperry will return to double-digit growth in 2021. Q4 adjusted operating margin was 6.6%, down compared to the prior year due to lower revenue, but better than our expectations entering the quarter. Net interest expense was up $4.3 million year-over-year as a result of the proactive liquidity measures taken in Q2 of 2020 in response to the uncertain market conditions at the time. The adjusted effective tax rate of 14.6% was up 590 basis points due to a more favorable geographic mix last year. Adjusted diluted earnings per share of $0.21, $0.22 on a constant currency basis, exceeded our expectations for the quarter. The reported loss per share of $2.10 includes the previously discussed noncash impairment charge. Let me shift to the balance sheet. Year-end inventory was down 30.2% versus last year, and we entered 2021 with a lean inventory position, particularly in certain categories. However, our global supply chain has made needed adjustments to support significant growth in the first quarter and will continue to improve for the balance of 2021. Our current backlog position, coupled with the strength of our global DTC businesses, give us valuable insight and confidence to invest in at least $100 million of incremental inventory this year to support growth. Cash generated from operating activities in Q4 was $173.6 million, significantly more than expected. We finished the year with $76 million less debt than last year, and total liquidity of $1.1 billion, including $347 million of cash on hand and approximately $800 million of revolver capacity. Our bank defined leverage ratio continued to improve, ending at a very healthy 1.6 times. Now I'll provide a brief summary of our full year 2020 results. The Company reported revenue of $1.79 billion for 2020, down only 21% despite the global pandemic's impact on more than 3/4 of the year. Adjusted operating margin was 7.5%, down from 11.5% in the prior year due to lower revenue. Full year adjusted earnings per share were $0.93, and reported loss per share was $1.70, reflecting the noncash impairment taken in Q4 and specific COVID-related costs incurred during the year. In the face of an unprecedented disruption to our business, the Company acted quickly and decisively. Our nimble business model allowed us to adjust to the environment and prioritize cash flow and liquidity while positioning our brands for future growth. Ultimately, we delivered $309 million of operating cash flow for the year, significantly exceeding the prior year and our most bullish expectations. In addition, our healthy balance sheet enabled us to continue to pay dividends to our shareholders throughout 2020, without interruption, reaching 132 consecutive quarters of returning capital to shareholders through dividends. We are now poised for an accelerated recovery in 2021 and in an enviable position with ample resources to invest in growth initiatives. I'll now turn to our outlook for 2021. The global pandemic has changed the way we operate, and we expect it will continue to impact our global business for at least the next year. Despite these macro challenges, we believe that the positive trends in our business that strengthened in the second half of 2020 will improve in 2021. Our brands continue to build momentum, particularly those in performance, athletic, outdoor and work categories, with Saucony and Merrell leading the way. Our global DTC e-commerce business, a key strategic growth priority for the Company, has accelerated to start this year, and demand from our retail partners is very strong for the foreseeable future. The Company currently expects revenue in the range of $2.19 billion to $2.25 billion in fiscal 2021, growth of 22% to 26% versus the prior year, approaching 2019 revenue at the high end of the range. We expect gross margin to be at least 43% despite increased freight and logistics costs that will continue to be a headwind in 2021. The Company's cost structure will reflect the significant growth in our DTC e-commerce and includes higher and more normalized incentive compensation costs and an increased pension expense of $5 million. We expect adjusted operating margin of approximately 11.5% and an effective tax rate of 19% to 21%. Reported diluted earnings per share are expected to be in the range of $1.75 to $1.90. And adjusted diluted earnings per share are expected to be in the range of $1.90 to $2.05. Before handing it over to Brendan, I would like to briefly thank our team for their extraordinary efforts this past year. While 2020 is a year that we are glad to get behind us, the grit and determination of every team member was something for all of us to be proud of. With that, I'll hand it over to Brendan to share more insight on our strategic growth drivers. Brendan?
Brendan Hoffman: Thanks, Mike. In my six months with the Company, I have gained a good understanding of the business and a tremendous appreciation for our team as they successfully responded to a unique and challenging year. I continue to be energized by our portfolio of great brands and have focused my attention on our biggest growth opportunities by prioritizing our global direct-to-consumer e-commerce and accelerating our largest brands. The focus and progress we are making every day has me even more confident in the meaningful growth potential we have in front of us. Consumers are spending more and more time connecting digitally and in many cases, directly with their favorite brands. Our brands are capitalizing on this by engaging more closely with consumers on our digital platforms with richer brand and product storytelling. We are benefiting from consumer intelligence as we interpret real-time data to test newness and inform our inventory investment across product lines. We continue to see significant runway ahead in our digital businesses. We are investing in digital leadership, shifting the majority of our marketing investments to digital, developing enhanced content and optimizing our digital user experiences to increase conversion, including a focus on mobile through the launch of mobile apps for our brands, beginning with Merrell later this spring. All of this positions us well to achieve our aggressive target of $500 million of digital revenue in 2021. The growing scale of our own direct-to-consumer business, coupled with the DTC channels controlled by our third-party international distributor partners, accounted for roughly 1/3 of our revenue in 2020 and is anticipated to approach 40% in 2021. The expansion of this controlled distribution will help us to accelerate the go-to-market process, implement successful agile testing skills, improve our demand planning and ultimately develop more trend-right product on a continuous basis. In the current digital landscape, we are fortunate to be brand owners with direct control of our destiny. Consumers are choosing authentic brands and footwear categories with real functional or comfort benefits, and our brands are well positioned to take advantage of these trends. Saucony and Merrell, our two largest brands, are prime examples, and we expect they will account for nearly half of our revenue in 2021. Saucony's momentum is accelerating, and we believe the brand is poised to maximize big opportunities in the fast-growing running and lifestyle sneaker categories. Coming as I do from a fashion background, I'm particularly excited about the global expansion opportunity for Saucony Originals and its validation in high-end Italian fashion boutiques. As Blake mentioned, we expect Saucony to grow about 50% in Q1, a very fast start to an exciting year. Merrell is anchored in the outdoors and leads the growing U.S. hiking market, where it is gaining share and expanding its retail distribution. The brand has also established a solid foothold with easy on-off silhouettes within the lifestyle category. Merrell's own e-commerce business is the largest in the portfolio and we anticipate it will contribute the most dollar growth in 2021. We expect Merrell to grow by approximately 20% in Q1, with even stronger growth expected in Q2 and beyond. The Wolverine brand continues to lead the very healthy U.S. work boot category. And our work boot portfolio captured over 30% market share in 2020. We expect the Wolverine brand to grow approximately 20% in Q1, driven by new technology launched this past year, along with new product launches and collaborations that will drive growth throughout the year. Sperry has refreshed its brand platform and injected excitement into its many new product offerings, which Blake referenced earlier, and we expect will result in a return to growth in Q1 and strong double-digit growth in 2021 overall. Overall, we are pleased with the momentum in the business as we start the year. The new product pipeline is stronger than ever, and we are focused on leading with digital and DTC e-commerce. We have strong order demand, and as Mike outlined, expect this to translate into meaningful growth in 2021. Blake will now share some additional insight on our expectations related to the macro environment before concluding our remarks. Blake?
Blake Krueger: Thanks, Brendan. We are optimistic even though our outlook continues to assume a somewhat volatile global environment related to the pandemic. However, as vaccines are rolled out and restrictions are eased, we believe consumers will begin to return to social activities, and we will see a meaningful increase in consumer spending, which has been fairly strong already in the U.S. this year. We have proven our ability to manage through seismic change and remain nimble, investing behind our brands and strategies to drive sales and profitable growth post-COVID. Regionally, we are already witnessing some positive signs in the U.S. where our brands saw a wholesale sell-through grow mid-single digits in the first period of 2021. We continue to see some delays in bottlenecks in the global supply chain, partially caused by the pandemic and partially by pent-up consumer demand, but believe this pressure will wane over the course of the year. For Q1, we currently expect a $20 million shift in revenue to Q2 directly related to logistic delays, but still expect to deliver mid-teens growth in Q1. Despite some of these macro factors, we are excited about 2021 and are confident in our ability to deliver a strong recovery. In this environment, our brands are poised to win. We believe this year will be a time of opportunity for companies like ours who have invested in talent, digital and online skill sets, new product innovation and closely connecting with their consumers. Our investments and focus are working, as witnessed by a strong order book and a fast start to 2021. In closing, I'd like to thank our team members and recognize their exceptional work and efforts in laying the foundation for what I believe will prove to be a pivotal year in the Company's history. They met every challenge with focus and determination, navigating the global pandemic, setting the Company up for future growth and supporting our communities along the way. With that, I'll now turn the call back over to the operator. Operator?
Operator: At this time, we'll be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Jim Duffy with Stifel. You may proceed with your question.
Jim Duffy: Hello. Good morning, guys. Nice work...
Michael Stornant: Good morning.
Jim Duffy: Healthy comps. Hope your and your families are doing well. Hey, I wanted to ask a question on the changing composition of the business. So 2020 revenue is down only 20% or so, but a definitive portfolio shift to active brands, Merrell still the largest, Saucony now the second-largest, and then of course you have the work brands. Guys, if we're thinking relative to the 2019 baseline where do you see the 2021 revenue mix for Merrell, Saucony and the work portfolio as a percent of the total business?
Michael Stornant: Yeah, I would, Jim. Right now, we would anticipate that, that percentage for that -- those group of brands would continue to increase for 2021. We've got great plans for some of the other brands in our portfolio, but certainly the momentum right now behind the outdoors, running, athletic, at home, comfy and some of the other activity-based recreational pursuits for consumers is going to continue still. As we look ahead, we would expect -- for 2021, frankly double-digit increases from all of our brands, compared to 2020 of even digit increases for Merrell, Saucony, Wolverine, and Chaco, for example, versus 2019.
Jim Duffy: And I believe the work portfolio performed well during 2020 as well. I think I feel as you, Blake, or Brendan you said Merrell and Saucony combined about half the business. If we add the work portfolio in, are you up around two-thirds?
Michael Stornant: Just a little under that. Yeah, less. Right now.
Jim Duffy: Okay.
Michael Stornant: But If you had to work -- the total work portfolio and not just the Wolverine brand, that's a pretty good estimate.
Blake Krueger: Yeah. A lot of that work in 2020 was a bit of a -- a little bit of a pleasant surprise for us. The key distribution channels farm and fleet and some of the other work retailers frankly remained open throughout the pandemic and that certainly was a tailwind.
Jim Duffy: And then one follow-on question if I may. I just wanted to ask on the international market expectations. In the guidance, have you embedded a second-half rebound for the international business some recapture of some of the pressure that you saw in this fourth quarter?
Michael Stornant: There is a good recovery in the international business plan this year are not quite to 2019 levels yet. We still have some of those tail or some of those headwinds in Latin America, in particular, where markets are closed down and in some of our Asia-Pac markets as well. But we're going to see very nice growth in Q1 for the international business approaching almost 30%. So, and I think a good balanced performance throughout each quarter, Jim, which is good to see. So I would say a good recovery for the year, not necessarily back-half weighted.
Operator: Our next question comes from the line of Jonathan Komp with Baird.
Jonathan Komp: Yes. I want to ask a little bit more detail about the state of the channel that you see. Obviously, when you look at, you finished 2020, it sounds like there are some shifts in product launches and now maybe some delays in product availability for the first quarter. But just a broader commentary about strong backlog and your sense of inventory relative to sell-through, as you sit here today?
Blake Krueger: Yes. I mean, fundamentally, Jonathan, we feel pretty optimistic about 2021. We see light at the end of the pandemic tunnel right now. It's, maybe the vaccine rollout isn't going as smooth as all of us would wish, but there's certainly light at the end of the tunnel. We have a very resilient portfolio of brands. And we have probably the best visibility into future demand that I've seen in 25 years. Our backlog right now is extremely high. That's probably due to a number of different factors. So I think some of the proactive actions we took in 2020 to invest in talent and digital again and double down on content and user experience is all paying dividends for us right now. We think some of the consumer behaviors and trends that we witnessed in 2020, whether it's outdoors, whether it's running, we think these are going to stick. We do believe it was five years compression of behavior changes into maybe a 12 or 18-month period, but we think these trends are going to continue, and they're providing us some tailwind.
Brendan Hoffman: And Jonathan, just to add on to your inventory question. From an e-commerce perspective, I mean, that's one of the things I was most impressed about with our Q4 e-comm performance was knowing that we didn't have the level of inventory we would like in some of the key franchises and knowing that will be in place as we circle the next holiday, I think, is tremendously exciting for me in the organization as we map out a $500 million e-com business for 2021.
Blake Krueger: And then maybe just a little more specifics on the supply chain and logistics issues right now. I'm seeing that some of those challenges across any number of industries, including, obviously, consumer soft goods, we tried to quantify that for you. For us, we see, we don't really see any lost sales, but we do see a $20 million shift maybe from the end of Q1 into the beginning of Q2. We do expect some of those port congestion issues, ocean freight, inland transportation issues to steadily improve over the course of the year.
Jonathan Komp: Great. And then separately, on operating margin, I know in the 2021 production, you're assuming getting back close to 2019 levels, that's with much higher gross margin. And it looks like higher G&A dollar spend even versus 2019 by a good amount. So can you maybe just highlight the shifts in the business mix that are driving that? And then if you're using some of the gross margin upside to reinvest in the brands, any more detail there, that would be helpful?
Blake Krueger: Yes, Jon, it's absolute correlation between the benefit we're getting off of driving a bigger DTC business, especially with our e-comm growth. Both in terms of gross margin expansion, but also operating margin leverage there, there's a nice accretive benefit to that business. And frankly, as we've invested in e-commerce growth, over the last 1.5 years, we've seen tremendous leverage despite the investments. So that's really promising. And when we look at the guidance for '21, there are some different headwinds that aren't related to the mix. It's really some of the supply chain and freight-related costs that we talked about before, just anticipating that, that could be in place for a while. It also includes some incremental investments that we're planning to make in our biggest growth opportunities. And as you baseline 2019, as you're referring to, most of that investment is going towards our digital capabilities, investing in advertising and content and technology platforms that support our e-commerce growth. So I like the fact that we're delivering on operating margin despite lower revenues in 2019 and would see us be able to pivot out of that into 2022 and continue to expand operating margin given the growth in e-commerce as a driver behind that.
Brendan Hoffman: Well, I think even from a wholesale perspective, the inventories have been so clean this year that we haven't had to discount maybe like you would in the past in any business. And so for me, it's exciting to see, have such a clean base now to build on without some of the noise that comes into any business normally through all the promotional activity.
Blake Krueger: Some of the cleanup we did in the international side of the business in 2020 is going to help there, too. But we still have a recovery to achieve on the royalty side of the business, which is one of the reasons you're not seeing as much operating margin expansion in the '21 outlook until we get that sort of international business back to normal levels.
Operator: Our next question comes from the line of Matthew Degulis with KeyBanc Capital Markets.
Matthew Degulis: So Brendan, you touched on this a bit, but given that Wolverine is becoming much more of a DTC company, can you talk about how the shifts in the order calendar ability to react in the overall mindset of the Company?
Brendan Hoffman: Well, I think you just summed it up, Matthew. I mean, this was something Blake had started before I got here, and hopefully, I'm accelerating is just this shift to a direct-to-consumer first lens and just what that means in terms of having continuous product, continuous storytelling. So we're kind of doing two things, parallel path right now as we're working through the supply chain issues that Blake mentioned that are in the macro environment, also working on a better, building a better mousetrap. So we can have quicker speed to market from idea to shelf and a continuous flow. And I think the organization is really embracing that as they see this past year, the power of our e-commerce, ability to sell directly to our e-commerce channel. And as I referenced in my remarks, when you factor in all of our international partners and the model brand stores we have out there, it's almost 40% of our business right now is already done directly to the consumer. At the same time, as we say, this will only benefit wholesale. Wholesale, our wholesale partners will benefit by the assets we're creating by the constant flow of newness. So we think that this will lift all of our channels, but through the lens of e-commerce.
Matthew Degulis: Got it. And then next one is for Blake likely. Can you talk about the health of the overall footwear industry? From my seat on the outside looking in, it seems most high-quality companies are short-term inventory right now, which is driving full price sales and a healthier overall landscape. But I'm curious your thoughts on how and if the industry can keep this discipline intact longer term?
Blake Krueger: Yes. I think fundamentally, I do think the good, a lot of the good brands and companies like ourselves are a little bit lean on inventory right now. And obviously, we have greater insight today in the future than we had last March, for example. A lot has changed. I would say, as we look ahead into the future, our industry is driven by innovation and design. And you get rewarded for bringing freshness to the marketplace. Even our wholesale customers have realized that past year and currently. I think it's one of the reasons why our future order backlog is up so much. They need to plan a constant flow of freshness, consumer right -- hitting consumer trends into their stores. And certainly, we're seeing that in our own e-comm and DTC business. So fundamentally, it comes back to product, product, product, as I always say, coupled with powerful marketing stories. And we focused on that in 2020. We doubled down. We continue to invest in talent, in those capabilities, digital and otherwise. And we're starting to reap the benefits of that now. But certainly, we think the industry as a whole is a pretty good inventory position right now.
Operator: Our next question comes from the line of Mitch Kummetz with Pivotal Research.
Mitch Kummetz: Mike, let me start with you. Can you speak a little bit more to the shape of 2020 as you see it, particularly on the top line? I mean, I would guess, Q2 would be the biggest increase given the comparison plus the $20 million shift that you already referred to, but maybe you just maybe, anything else on the rest of the shape of the year? And also even in Q1, so it sounds like $20 million shifting out of Q1 to Q2. But if I recall correctly, there was supposed to be, I think, like a $25 million shift from Q4 to Q1. I don't know if that happened or not, but maybe could you just address the shape in the context of kind of those things?
Michael Stornant: Yes. Let me start with the kind of the quarterly flow of the business. Obviously, we have a lot more visibility to the next two or three quarters out. And as Blake mentioned in his comments, I mean, we've got a very strong order backlog today that gives us not only visibility, but confident. Q4 would be where we might put the most conservatism in the outlook. But when you look at the shape of the business and the growth trajectory of each quarter, Q2 is definitely our biggest growth quarter for obvious reasons. But we're going to see a large percentage of our total revenue deliver in the first half of the year. There's a really good balance between H1 and H2. And yes, there's definitely a shift here that Blake talked about into Q2 that will help kind of drive that up even a little bit more. There were some delays or shifts, I should say, for Saucony launches that came out of Q4 into Q1 this year as well as some of the international issues that we've already talked about. Not quite $25 million in total, but it was meaningful, and it's helping to drive a really solid Q1 performance in terms of growth kind of year-over-year, which is against a pre-COVID, mostly for us anyway, a pre-COVID time frame in Q1 of 2020. So I think the visibility, the health of the business and then the momentum we're seeing, not just in the brands, but in the e-commerce business off to a really strong start in Q1, kind of give us confidence that this will be a nicely balanced year and not a back-weighted year.
Mitchel Kummetz: Got it. And then just from a channel perspective, can you say where e-comm landed as a percent of sales for 2020? And then is there any way you could sort of frame the operating margin profile of e-com versus the balance of the business? And then I guess, lastly, it sounds like you expect outpaced e-com growth in 2021, but I just want to confirm that?
Michael Stornant: Absolutely. So yes. I mean the mix for Q4, and that's our biggest quarter for e-commerce typically in a normal year. E-commerce was about 22% of revenue in Q4, it was about a little over 20% and for the full year. In 2019 as a baseline, that was just over 10%. So we have a significant acceleration there. When you think -- we think about 2021 and we talk about $500 million target we have to achieve in the e-commerce -- global e-commerce business this year, that's more than double 2019 levels. And that's going to represent -- yes, outpace growth against certainly industry averages and real meaningful growth over 2020 as well. And that when we do achieve that, we're going to be closer to 25%, maybe a little above 25% of the overall mix coming from our e-commerce business. So I should say e-commerce in stores. So we're headed in the right direction. That acceleration is definitely taking hold in the business, and we would expect that to continue even beyond 2021. On the margin side, we don't give all the gory details of the margin mix for the e-commerce business. What I can say, kind of repeating what I mentioned to Jonathan, is that we have very strong leverage coming out of that business for the last two years in a row now. We've invested heavily. As you look at the SG&A dollar spend from 2019 to 2021, nearly all of the increase there is coming from investments and focus in digital investments. So I would say that we continue to get leverage. We think that as we continue to grow that channel, we'll get more leverage going forward, and it's an accretive contributor to the business.
Operator: Our next question comes from the line of Erinn Murphy with Piper Jaffray Piper Sandler.
Erinn Murphy: And it's now Piper Sandler, but anyway. So a couple of questions for you. First on Sperry, I would love to know if you're kind of seeing any differences in purchasing patterns between new customers versus existing customers? Any green shoots you got from a new -- or I should say, a younger customer? And then maybe as we think about 2021 for that brand, share a little bit more about the new launch you have in March? And then I've got a follow-up.
Blake Krueger: Yes. I mean, as you know, we obviously love the Sperry brand. We think it's going to be one of our biggest brands in the future. Sperry, we haven't seen any significant shifts in the consumers base. Sperry is pretty unique in that regarded never -- it doesn't ever matter whether I'm talking to a 16-year-old who loves the brand or a 65-year-old who loves the brand. Sperry has pretty unique appeal across genders and across ages. Erinn, as you know, last year we infused the Sperry brand with some top talent leadership in marketing, leadership in product development and we're just really starting to see the fruits of those of their efforts, frankly. When we look forward on the product pipeline side we -- I think the float introduction will be a big idea, a big introduction, probably one of the biggest for Sperry in several years, but we have new offerings in boat shoe category and the boot category, vulcanized category. Sperry is a brand where the consumers have given permission to play across a number of different product category. So we're positive on Sperry right now. We expect Sperry to deliver growth in Q1, and versus 2020 double-digit growth for the full year.
Michael Stornant: Yeah. I mean I'm excited, as Blake mentioned with the product that's starting with Float and really will then be a constant flow for the next four quarters and beyond, but also the storytelling that they're starting to develop to match with that. Blake referenced the talent we brought in. And you really starting -- and I'm really starting to see it come to fruition with what they're working on for Q2 and beyond. Just the constant storytelling a little bit more -- in a little bit more of an authentic and scrappy way than maybe we've done in the past. So I think the combination of that storytelling with the product Blake referenced is making us very energized about Sperry's future.
Erinn Murphy: Great. Thank you. And then just a follow-up on the port delays that you're seeing. I guess, is there kind of a timeline that you think they could be remedied? We've heard from different companies that could be late spring, it could be all the way into summer. And then are you needing to airfreight product to avoid some of the congestion at the ports and then just translating that through to gross margin? And sorry if I missed it, how will that impact of the first quarter or the first half gross margin? Thanks.
Blake Krueger: Yeah, I mean we are air freighting as you know, air freight cost have also gone up, we've built a lot of that into our plan for 2021. We have historically been very judicious when it comes to airfreight. When you airfreight footwear you're airfreighting a lot of air, and on the other hand, we have extremely strong demand now and predicted over the next several quarters. So I wish I had a crystal ball and could tell you exactly when the port congestion is going to relieve itself. We think it's going to get better over time. We think it's going to be around all for a minimum of several months. We've been -- we've implemented some strategies to address this situation using different ports by using fast boats and several other avenues available to us, but we think that's going to last for a while yet. And frankly, it's built into our plans and built into the kind of quarterly cadence that Mike talked about earlier.
Brendan Hoffman: I would also add Erinn. While it's never preferred, this is a year where if we need to we'll invest that do what we need to do to get the good as soon as we can get them. Because the demand is there and we obviously have the market share opportunity, the shelf space opportunity with a couple of our biggest brands right now that we're not going to let that opportunity pass us by. So hard to predict where this will go in terms of the full year, but we're trying to be conservative in that outlook. We had a couple of unusual events in Q1. We had two different vessels that had significant number of our containers on them that had either been damaged or we lost containers into the water in 25 years I've been with the Company. At this magnitude, that's never happened before, and we had two in one quarter. So part of the reason we're seeing a shift here from Q1 to Q2 is just that very unusual event. But our team is way in front of this right now. They're doing a great job of managing it, keeping costs in line. And we're just dedicated to moving these goods as fast as we can to meet the demand we have.
Operator: Our next question comes from the line of Dana Telsey with Telsey Advisory Group.
Dana Telsey: Congratulations on the nice progress.
Blake Krueger: Thank you, Dana.
Dana Telsey: As you think about the wholesale business, you talked in the past about new players that you're targeting for the brands. What are you seeing there? And what are the opportunities in wholesale going forward, given I think you mentioned mid-single digits growth so far in the first quarter as you see it? And then on operating cash flow for 2021, how are you looking at that in CapEx and the return on CapEx investments in digital? What do you foresee?
Brendan Hoffman: Dana, on the new, I mean, wholesale, we're bullish on wholesale for some of the reasons I said. We're certainly seeing our product resonate in digital as well with these, with our wholesalers. So there's certainly an increased penetration within their e-com business, where with most of the big digital titans. So I'm not sure if, maybe you have to clarify what you're referencing, we said new wholesale accounts.
Dana Telsey: I thought you were going in even with going into new wholesale accounts with the digital operations also. Are there new retailers that you're interacting with to capture, whether it's a younger customer or newer customer that you're seeing?
Brendan Hoffman: Well, I mean, we're certainly looking at all the new business models out there, the subscription services and the like that we think footwear hasn't dived as deeply into, but we want to be on the forefront of that. And I think some of our brands like Wolverine are taking advantage some of the wholesale distribution locations where we might have presence with some of our other brands, but trying to get shelf space from the other competition that I think we're seeing some opportunities on in '21 and making sure that we fuel their shift to digital as well. I mean some of our big partners have expressed how they're shifting heavily into digital and how they're expressed transitioning some of their product mix, and we're well poised to take advantage of that in the athletic, outdoor and workspace.
Michael Stornant: And I think we're also leveraging the portfolio today and really shifting the distribution in our wholesale channels. And I think that's critical. We look at our digital penetration with pure-play retailers and our sporting goods and outdoor retail penetration. That's become a much bigger percentage of our total business and obviously, healthier channels overall. So in this environment, we've been able to kind of prioritize those channels and partner with the best retail partners we can. But we've always had a real broad base of accounts that don't necessarily require us to go out and get new customers, but just to emphasize the ones that are performing the best in this environment. And then I think your question on CapEx is a good one. It's, when we think about digital and e-commerce, in particular, we've invested over the years. We, I think we were ahead of the curve on the investment side of the business here because we set the platforms up. We put the tools in place before this acceleration began. So when we look at investment in the e-com platform, it's in people. It's in other resources. It's certainly optimizing our demand creation and our performance marketing. There is some CapEx there too, Dana, which supports our entire global business through the distribution and supply chain and everything else. But as it relates specifically to e-com, it's a pretty small percentage of the total.
Operator: Our next question comes from the line of Laurent Vasilescu with Exane BMP Paribas.
Laurent Vasilescu: Mike, I wanted to follow-up on Mitch's question. I think it was called out that Saucony would be up about 50% for the first quarter. An extra shift from 4Q into 1Q, how do we think about the growth just in terms of underlying growth? And then can you parse out how much the China partnership will contribute to FY '21 revenues?
Michael Stornant: I can talk to the Saucony share. Again, 50% growth for Saucony in Q1 was tremendous growth on a global scale for them, also really strong continued performance on the e-com channel for Saucony. Yes, they're benefiting from those launches that we talked about that split out of Q4 and moved into Q1. But even excluding that, there would be very strong double-digit growth for the Saucony business in the first quarter. And that's, frankly, obviously going to accelerate into Q2 as we go up against easier comparisons. But we think that the pipeline there and the consistent flow of the new product that's coming to market through the course of the full year is going to keep that momentum going.
Blake Krueger: Yes. I would say we anticipate a very strong double-digit increase for Saucony for the entire year at this point. With respect to China, we've got a foothold there in China. Our joint venture is meeting expectations even with the bump in the road caused by the pandemic. The dollars there are probably not overly significant at this point for the Saucony brand, but we did end the year with 32 Saucony stores opened. So a great presentation in China, our best product, a great apparel program in China. But frankly, it's, we kind of view China's opportunity in front of us.
Laurent Vasilescu: Very clear. And then as a follow-up, sorry, if I missed this on Erinn's question. But Mike, did you guide, give color on just where, if you can give us color on the first quarter gross margins? I think you had about $3.1 million of air freight costs in 4Q. How do we think about that for 1Q? And then just a housekeeping question here. Anything in terms of how we think about the $0.15 adjustment in the FY '21 EPS guide? What's driving that? That would be very helpful.
Brendan Hoffman: Yes. On the latter point, that's predominantly almost all related to the ongoing litigation costs that we have, that we'll continue to have for the next year or two years on the legacy environmental issue. And then on the, we didn't give guidance on the margin rates for Q1. I would say, currently, where the kind of the street sits at about 10%, operating margin is in line with what we would expect. And we are still managing through freight and other things, and there's some variables there that we'll be able to report on at the end of the quarter. But as we did mention, that's going to be an ongoing component for us to manage as we look to the rest of the year.
Operator: Our next question comes from the line of Alec Legg with B. Riley FBR.
Alec Legg: Just a question on the Merrell website. You mentioned 70% growth in new consumers. Any additional details on that? Was that mostly consumers moving from in-store to online? Or were there a large mix of new consumers to the brand? And then any details on other brands that might have seen large meaningful growth online and either through acquiring new customers?
Brendan Hoffman: I don't think it was so much migrating them from our own online stores because remember, our online stores are really all outlets. And this was full price business. So I think it was a lot of new customers. It was probably customers that maybe have bought Merrell elsewhere and with stores being closed, went right to our site. So now that was exciting for us. And as I mentioned in my remarks, we're going to be launching a mobile app with Merrell later on this spring. So we're going to continue the investment and making sure we have they can shop us however they want to shop us. And certainly, there are other brands that are learning within our portfolio from that as well. So we -- so yes, it's -- in terms of new customers and migrating, we're not going to give that information, but it's exciting to see all the KPIs and how they're trending for Merrell and Saucony and really all of our brands online.
Blake Krueger: Yes. And I think this is just also related to the flood of new consumers to the outdoors, right? Whether it's camping in the backyard or visiting the National Park or hiking on a trail. There was a tremendous uptick in consumers looking at the outdoors. And I think Merrell was the recipient of some of that increased interest.
Operator: Ladies and gentlemen, we have reached the end of today's question-and-answer session. I would like to turn this call back over to Mr. Brett Parent for closing remarks.
Brett Parent: On behalf of Wolverine worldwide, I'd like to thank you for joining us today. As a reminder, our conference call replay is available on our website at wolverineworldwide.com. The replay will be available until March 25, 2021. Thank you, and have a good day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation, and enjoy the rest of your day.